Operator: Welcome to IDACORP’s First Quarter 2023 Earnings Conference Call. Today’s call is being recorded, and our webcast is live. A replay will be available later today and for the next 12 months on the IDACORP website. [Operator Instructions] I will now turn the call over to Justin Forsberg, Director of Investor Relations and Treasury.
Justin Forsberg: Thanks, Regina, and good afternoon, everyone. We appreciate you tuning in for our call. This morning, we issued and posted to IDACORP’s website our first quarter 2023 earnings release and the associated Form 10-Q. The slides that accompany today’s call are also available on IDACORP’s website. We’ll refer to those slides by number throughout the call today. As detailed on Slide 2, our discussion today includes forward-looking statements including earnings guidance, spending forecasts, and regulatory plans, which reflect our current views on what the future holds, but are subject to several risks and uncertainties including uncertainties surrounding the impacts of future economic conditions. This cautionary note is also included in more detail for your review in our filings with the Securities and Exchange Commission. These risks and uncertainties may cause actual results to differ materially from statements made today, and we caution against placing undue reliance on any forward-looking statements. As shown on Slide 3, on today’s call, we have Lisa Grow, IDACORP’s President and Chief Executive Officer; and Brian Buckham, IDACORP’s Senior Vice President and Chief Financial Officer. In addition to Lisa and Brian, we have other members of our management team available for a Q&A session following our prepared remarks. Slide 4 shows our quarterly financial results. IDACORP’s first quarter 2023 earnings per diluted share were $1.11 compared with $0.91 during last year’s first quarter. Today, we also affirm our full-year 2023 IDACORP earnings guidance estimate in the range of $4.95 to $5.15 per diluted share, which includes our current expectation that Idaho Power will utilize approximately $15 million of additional tax credits that are available to support earnings as a 9.4% return-on-equity level in the Idaho jurisdiction under its Idaho regulatory settlement stipulation. These estimates assume normal weather conditions and a return to more normal power supply expenses. I’ll now turn the call over to Lisa.
Lisa Grow: Thank you, Justin, and thanks to everyone for joining us on the call today. I’m going to start with some discussion on customer growth, which remains strong across the Idaho Power’s service area. As noted on Slide 5, we’ve seen 2.2% total customer growth since the first quarter of last year with our residential customer growth rate slightly higher at 2.4%. We now proudly serve more than 620,000 customers. A notable portion of our future load growth is from large load additions on the commercial and industrial side. We have several big projects set to come on line this spring and summer, including the True West Beef processing plant, a Chobani facility, and The Stow Company’s manufacturing facility. Micron has also broken ground on the first phase of its planned Boise expansion project, which will add 6.5 million square feet of new building space over the next several years. I’ll also mention our Clean Energy Your Way program. You’ll recall we made several filings with the Idaho Commission to establish new offerings to help both residential and business customers reach their clean energy goals. While we’re still waiting for approval of the Clean Energy Your Way program, the retail agreement for Micron has been approved, as well as the other power purchase agreements to serve both Micron and Meta. The economy within Idaho Power’s service area has continued to outperform national trends, and sources we look at suggest that the trend will continue. Moody’s most recent GDP calculations for our service area forecast strong growth of 4.7% in 2023 and 4.4% in 2024. Employment across our service area has increased 2% since first quarter 2022, and our region continues to be a great place to live and work, powered by the reliable, affordable, clean energy Idaho Power provides. Partly as a result of this growth, we expect to file a general rate case with the Idaho Commission on June 1 requesting rate changes for Idaho customers effective January 1, 2024. We filed our 60-day notice of intent on March 31, and we are currently preparing the filing. A general rate case filing in Oregon will likely follow. As we assemble the case, we’re working hard to keep the request below 10% as we’re mindful of the impact that rate increases have on our customers. Our last general rate case was in 2011, and our customer count has increased by 23% over the past decade. To serve that growing customer base, we made significant investments in our infrastructure to maintain, improve, and protect our system. We’ll continue to have considerable ongoing investments in response to the rapid customer and load growth we’re experiencing. We worked hard to keep our O&M low for the past decade with an average annual growth rate of only 1% since 2012. That’s a total increase of just over $50 million to serve those 120,000 new customers. We expect our upcoming case to largely focus on the rate base additions needed to reliably serve our customers. Our case will demonstrate that we have a strong track record of managing expenses and have made the necessary investments to continue providing safe, reliable electric service to our growing customer base. While we understand a rate case could be difficult news for our customers, particularly following this spring’s power cost adjustment, we are confident in the case we plan to present and in the constructive regulatory environment we’ve worked hard to maintain. Turning now to Slide 6, you’ll see the latest on our large transmission project, which will be key resources for meeting our increasing demand, while moving away from coal-fired resources. We currently expect to break ground on the Boardman-to-Hemingway 300-mile transmission line project this year. In March, the Oregon State Supreme Court affirmed the Oregon Energy Facility Siting Council’s final order and site certificate for B2H now giving us an appealable permit to begin construction. Also in March, we executed an agreement with the Bonneville Power Administration to transfer their 24% interest in B2H to Idaho Power, bringing our interest in the project to 45%. Under the agreement, BPA has agreed to pay Idaho Power for long-term service. In addition to B2H, we’re continuing to work with PacifiCorp to plan construction of certain segments of the 1,000-mile Gateway West Transmission Line project that connects Eastern Wyoming with Southwestern Idaho. The project will help both companies meet rising demand and reliability needs. Next on Slide 7, we included an update of our anticipated needs for additional energy and capacity resources in 2026 and 2027. We currently have RFPs out for projects to help us meet those future needs, which we estimate to be approximately 350 megawatts of peak capacity and up to 1,100 megawatts of variable energy resources. Our latest 5-year CapEx forecast included about $200 million in 2027 related to these RFPs. But those are still rough estimates until we work through the RFP and our 2023 IRP processes. We’ve recently announced or brought on line several new energy resources that are outlined on this slide. As a reminder, we expect the 2023 IRP to show a 5-year forecasted annual growth rate of 5.5% on retail sales and 3.7% on annual peak. These preliminary numbers are close to double what was forecasted in the 2021 IRP and are subject to change as our large-load customers finalize their plans. Continued growth across our service area underscores the importance of our large transmission projects and the need for additional energy and capacity resources. In closing, as highlighted on Slide 8, environmental, social, and governance efforts remain key areas of focus for IDACORP. I invite you to read our recently published 2022 ESG Report, which highlights our many environmental programs, community giving, volunteerism and more. I am so proud of our employees who continue the tradition of stewardship that has been at the heart of our company for more than a century. The report is available on the IDACORP website. With that, I’ll hand things over to Brian for a financial overview and our expectations going forward.
Brian Buckham: Hey, thanks, Lisa, and hi, everyone. I’m going to start on Slide 9. It’s our summary of the first quarter’s results. Now, compared to the first quarter of last year, customer growth of 2.2% added $2.7 million to operating income. And despite higher mortgage rates and just general economic uncertainty, our residential customer growth rate remains strong at 2.4%, and we have recently seen an uptick in residential building permit activity after a few months of relatively low applications. Moody’s GDP outlook for our service area continues to point to strong customer growth, as Lisa noted, and we’re planning for more rapid load growth going forward in our upcoming IRP. And recall that a sizable portion of our expectations for growth are from significant commercial and industrial customers. Back to the table of results. Cold temperatures during much of the first quarter resulted in a slight increase in usage for residential customers, while industrial per-customer usage was down slightly. I’d note that the first quarter of last year was also below normal in terms of temperatures, so that drove somewhat comparable usage quarter-over-quarter. We’ve seen a slow start to the irrigation season due to a longer winter-like condition than normal with snow still on fields until relatively recently. But we did see some drying in April and nearly 90-degree days starting last weekend, so it looks to us like farmers are able to plant and begin using irrigation pumps. These weather conditions, combined with the cost of slight net usage per customer, increased operating income, which was offset by $1.2 million decrease in Idaho Power’s fixed-cost adjustment mechanism revenues from residential and small commercial customers. Further down, you’ll see an $8.5 million increase in operating income from the change in net-per-megawatt-hour revenue. The Idaho order for the Jim Bridger plant, which increased retail rates on June 1 last year, led to a portion of that increase. Other pieces were the impact of tiered rates and a change in the customer sales mix to higher-margin customer classes. As I noted on the last earnings call, we expect the Jim Bridger order to provide a benefit during 2023, and we saw part of that in the first quarter. Remember, though, the Bridger order added roughly $20 million of after-tax benefit in 2022, but that included the deferral of certain depreciation expenses, and that had an outsized non-recurring benefit in last year’s second quarter. Next on the table, transmission wheeling-related revenues increased operating income by $5.1 million resulting from continued energy price volatility in the Western U.S. Also, wheeling customers paid about 1% more for transmission wheeling for the quarter with Idaho Power transmission tariff rate increase in October of last year from higher transmission costs. In spite of continued inflation-related pressures on labor and other costs, O&M expenses were flat quarter-over-quarter. That was in part due to our cost management efforts throughout the business and from lower expenses from scheduled plant maintenance, as well as the timing of regulatory deferrals. As we look at the rest of the year, we’re still working on a potential reduction in other O&Ms compared to 2022. I’ll get to that when I discuss our guidance for this year in a moment. The portion of higher net power supply expenses in the first quarter that were not deferred for future recovery and rate-through power cost adjustment mechanisms contributed to the sizable $7.8 million increase in other changes in operating revenues and expenses listed next on the table. That’s basically our portion of the shared risk in the power cost adjustment mechanism, mostly due to continued high gas and wholesale power prices in this year’s first quarter. We had similar power cost pressures during much of 2022, and our current guidance contemplates a return to more normal operating conditions. For now, forward gas prices are looking better than we saw over the past several months, but we’ll see how the rest of the year plays out. Next on the table, you’ll see a $2.7 million decrease in non-operating expense. Interest income drove much of that increase due to higher market interest rates and investment income. This is partially offset by an increase in interest expense, mostly reflecting the bond we received in early March from newly issued bond. We expect higher interest expense to continue to weigh on our results for the balance of 2023. Also, the allowance for funds used during construction increased as the average construction work-in-progress balance was higher this quarter from our project build-outs and relicensing activities. We expect the batteries we’re receiving this year to be delivered in portions throughout the summer, though some sections may not be installed until the fall. Those project delays will impact both depreciation expense and AFUDC this year. Finally, higher income tax expense, mostly resulting from greater pre-tax income, was partially offset by a recording of additional amortization of accumulated deferred investment tax credits of $3.75 million. We recorded this additional amortization based on our current expectations for full year 2023 results, which under the regulatory mechanism allows us to use a portion of the accumulated tax credit balance to help lift Idaho Power’s return on year-end equity to 9.4% in the Idaho jurisdiction. The amount we recorded is one-fourth of our expected total additional full-year amortization of $15 million. Combined with nominal impacts from other IDACORP subsidiaries, all of these items combined led to a $9.8 million increase in income over last year’s first quarter. On Slide 10, you’ll see the results of some of our recent borrowing. First, we received in early March the final $122 million of tranches of the private placement that we priced last December, and that included a delayed draw component. These bonds are two bonds of about 5.1% and 5.2% for the 20-year and 30-year notes. Then you can see on the slides that, on March 14, we issued $400 million in principal amount of 5.5% first mortgage bond in a registered offering with those maturing in 2053. We saw healthy demand for these bonds, which help us to drive a good spread and ultimately issue slightly below the average cost of debt we carried during the last general rate case we filed back in 2011. We used a portion of the proceeds from all of these issuances to finance our higher capital spending, to pay off the debt. You can see on the slide. And the payoff of the commercial paper we issued to address volatile power and gas markets during the first half of the quarter. As we’ve mentioned before, we generally target a relatively even capital structure. The recent issuances moved Idaho Power’s equity ratio closer to 51% at the end of Q1, which is prior to the payoff of the $75 million bonds that matured on April 1. Given where we are on that ratio, we still don’t see equity issuance as imminent. But given the size of our capital plans and that we’re approaching our target ratio, our financing strategy going forward does include a blend of both equity and debt to fund future growth. We’ll be spending sometime in the months of determining in more detail how and when we might make those issuances. As usual, we do intend to balance considerations like credit ratings, regulatory expectation, capital market conditions, and current shareholder impacts as we work on our plans there. Turning to Slide 11, cash flow from operations during the first quarter were negative, mostly due to changes in regulatory accounts from regulatory lag related to power and fuel costs. You’ll note that in April, we filed with the Idaho Commission a $200 million increase to customer rates related to higher power and fuel costs, with an expected rate change in Idaho on June 1. We expect the rate change to benefit operating cash flow as we collect on those costs. As you can see on Slide 12, we continue to expect IDACORP’s 2023 earnings to be in the range of $4.95 to $5.15 per diluted share with the assumption that Idaho Power would use around $15 million of additional investment tax credit amortization to reach the 9.4% return on year-end equity in Idaho. As I mentioned, we booked one-fourth of that in Q1 for the pro rata portion of the year. This guidance assumes normal weather and a return to more normal power supply expenses over the balance of the year. With our first quarter results, we’re on track thus far for the year on our EPS range. Now, we continue to expect full year O&M to be in the range of $385 million to $395 million with much of the expected savings related to less scheduled plant maintenance compared to last year and also our typical cost management efforts. If we’re able to do that, it would put our O&M lower than last year’s number, and with flat O&M thus far this year, we’re on track. Some of the larger scheduled maintenance activities were in the second and third quarters of last year. So, we have some tailwinds against the headwind of high labor costs and continued inflationary pressures on services and software costs as examples. We still expect this year’s CapEx spending to be in the range of $650 million to $700 million. And finally, we’ve lifted the bottom end of our hydropower generation forecast to now be within the range of 6 million to 7.5 million megawatt-hours for the year. This compares with actual generation of 5.3 million megawatt-hours last year. Yes, still below our 30-year average of 7.7 million. Our slightly-better outlook reflects the relatively strong snowpack conditions from this winter. Keep in mind that the drought conditions we saw over the past couple of years resulted in reservoirs throughout the system starting at pretty low levels. They’ll also need the refill from the snowmelt as well. Slide 13 shows our recent outlook for precipitation and temperature from NOAA. Current weather projections for June through August suggest that forecasters see more than a 33% chance for above-normal temperatures and are leaning toward normal precipitation over the summer. I’ll stop there. And Lisa and I and others on the call are happy to answer your questions.
Operator: We are now ready to begin the question-and-answer session. [Operator Instructions] Our first question will come from the line of Chris Ellinghaus with Siebert Williams Shank. Please go ahead.
Chris Ellinghaus: Hey, everybody. How are you?
Lisa Grow: Great. Thanks, Chris.
Brian Buckham: Hi, Chris.
Chris Ellinghaus: The 2.2% sort of 20-year forecast that’s in the preliminary IRP forecast, it seems a little on the low side. Is that reflecting some change in customer growth expectations? Or are you not reflecting much for electrification trends? Or you’re not expecting some data center trends to continue? What can you give us some color in terms of where you come up with that 2.2%?
Lisa Grow: Sure, Chris. I’ll start, and I’m sure Adam has some to add from the analysis that we’re currently working on with the IRP. We are certainly looking at all of that, but right now we still see really strong growth, but there are just some trends. We saw sort of a cooling off of housing permits in the last quarter, although those are starting to pick up. So, I think, in general, there’s not any one big thing that we’re seeing that has us alarmed. It’s rather sort of a continuation of some of the growth that continues, but not any gigantic loads that are showing up that are not already addressed. Would you, Adam?
Adam Richins: Yeah, Chris, I think you’ll notice the 5-year number is quite a bit higher. And that does include Micron, Meta, some of these large loads that we’ve seen coming into our service territory. We just feel more comfortable about those. It’s closer in time. Beyond that, electrification is certainly a part of the projection, but we tend to project kind of normal conditions on that front. Obviously, that could ebb and flow over time, but really it’s that first kind of 5 years that we have a pretty strong look at and at least a better feel for than 15 after that.
Chris Ellinghaus: So, would you say that maybe that 2.2% might be on the conservative side at this point?
Lisa Grow: I would say so. That’s generally how we tend to look at things.
Chris Ellinghaus: Sure. Back to the growth in the first quarter, customer growth has slowed a little bit in recent periods. Can you attribute that to any kind of economic factors, or is that really just the rise in interest rates on mortgages?
Lisa Grow: I would say it appears to be much more interest rate related. We still are getting lots of inquiries on commercial activity, businesses that want to site or expand, and those sort of go up and down. Like I said, in the last quarter, we saw cooling a little across the board, but it’s really kind of come back in this first quarter of this year. But with the latest increase in interest rates from the Fed, we’ll have to wait and see how that all plays out.
Adam Richins: Chris, I would just add, as we look across different sectors, there’s not one that particularly stands out as either being a massive growth or a massive decline, pretty consistent. And we saw some higher sales areas or things like lodging, dairy, and food packaging, and some special contracts, and some that were lower or things like construction and refining, and those do tend to have some cyclical applications, and I think we’ve seen some of that. And this is out of – I just saw the results from last month. And, again, we kind of track every load that’s above 1 megawatt that’s inquiring about our service territory. And for the last 3 months, including the last month, they’ve been solid. They’ve been as solid as the years before. Who knows if they’ll come to fruition or not, but at least inquiries and interest are certainly coming our way.
Chris Ellinghaus: Okay. That sounds good. Little clarity on the BPA interest acquisition on B2H. I don’t remember the number exactly, but in the 10-Q, you noted something about a number, $30-million-something. Is that the acquisition cost?
Lisa Grow: It is. Adam, do you want to take that one?
Adam Richins: Yeah. I mean, it’s broken up to – it’s kind of all-encompassing deal. And I think, as you know, BPA will be taking service from us over a 20-year period, but the total cost I think is around $41 million.
Chris Ellinghaus: Okay. Great. Brian, you sort of talked about financing going forward. Given where the balance sheet is now and your capital forecast, does that suggest that 2024 might be kind of in the neighborhood of where you might be getting some equity?
Brian Buckham: Yeah. Chris, at this point, I think that’s a reasonable assumption. We did with the debt issuance that we had in March and the tranche that we got from the December offering. We did move the needle on our debt-to-equity structure closer to the target. We’re sitting more at the 51% equity line now. Now, we have additions earnings during the year, dividends paid out, and we’ll have additional factors that will influence where we are on that. We would say that we’re going to be working on the equity program design this year, and equity is going to start coming into the window. But as we get close to that 50-50, it’s certainly going to be a factor for us. We also have planned debt issuance later in the year. That will impact where the equity debt ratio goes, so we’ll be watching that. We also watch things like credit ratings. That’s important to us as well. So, that’ll factor into what we do in terms of timing and also market conditions as we look at the capital markets, and I want to make the right decisions there, understanding that the impact on current shareholders will be part of our analysis well.
Chris Ellinghaus: Okay. On Slide 7, the $600 million, I don’t see any other resources on that page other than the batteries. So, is that $600 million just attributed to those 3 owned storage projects?
Brian Buckham: I think the $600 million that’s included on that slide includes the batteries that we have now, plus new RFP resources that are coming into the window that you see further down on the slide.
Chris Ellinghaus: Okay. So that’s inclusive of extra.
Brian Buckham: Correct.
Chris Ellinghaus: Okay. Thanks for the details. Appreciate it.
Lisa Grow: Thanks, Chris.
Brian Buckham: Thanks, Chris.
Operator: Your next question comes from the line of Brian Russo with Sidoti. Please go ahead.
Brian Russo: Hi. Good afternoon.
Lisa Grow: Hi, Brian.
Brian Russo: Hey, just a follow-up on Boardman-to-Hemingway. It’s nice to see that finally breaking ground. But just curious, what would be – what’s the full commercial operation date targeted for? And then what’s kind of the total CapEx and then kind of the profile that we should think about over the next several years?
Adam Richins: This is Adam. I can talk about the in-service date. We are still shooting for summer of 2026. In terms of the CapEx range, it’s $1.1 billion to $1.3 billion for the project. We would be now a 45% ownership of that project. In terms of how it’s laid out over time, it’s a 2.5-year construction window, maybe 3 years, depending on the situation, probably more like 2.5 years. So, those costs would be spread out throughout that timeframe.
Brian Buckham: Yeah, Brian, I’ll just add that if you look at it from a rate base perspective, we’re planning to be somewhere around that $500 million mark when you factor in capital costs, deferred taxes, that type of thing. The other thing I want to mention is on the acquisition of the share from Bonneville Power Administration, we pay for those costs over time. So, the $31 million number that was referenced or the $41 million number all-in is something that we don’t pay until further down the line. So, you won’t see that coming out of cash flow this year.
Brian Russo: Okay. Great. And then just on the transmission margins, $5.1 million of margin this quarter, I think that’s up 30% year-over-year. And I’m just curious will we be seeing another tariff increase in October of 2023. And then just trying to get a sense of what kind of normalized full-year transmission margins are supposed to be because we really haven’t had a normal year in several years now.
Lisa Grow: Yeah, that way. Amen to that. But that’s a formulaic rate. So, it’s determined every October. So, Adam, do you want to give a little color on the direction?
Adam Richins: Yeah, we won’t know until October what that rate is. I think the one thing I can say is, in 2020, volumes increased. I think it was 8% over 2019. In 2021, it was 18% over 2020. And in 2022, a 12% increase over the prior year. So, you’re right, we have seen volumes go the right direction. Obviously, our OATT rate has increased, too. What that OATT rate will be and what the volumes will be in the future. It’s hard for us to predict, but you can see the general trend.
Brian Russo: Okay. And then is there any movement on the Hells Canyon relicensing?
Lisa Grow: Well, we’re still optimistic that we would have a license in the next year or two. Certainly, the supplemental EIS and biologic opinions, I think we’re on track for that. So, at this point in time, I think that we’re optimistic. But certainly, we’ve been optimistic for 20 years. So we’re thinking we’re coming to the end of that, though. We’re pretty excited to get that one in place and get that one behind us.
Brian Buckham: Yeah. And FERC, they provided a proposed schedule that had a final EIS in December 2023 and a FERC license kind of in the 2024 later range. So, right now, we’re just kind of hanging tight and waiting to hear from them on that.
Brian Russo: Okay. And then lastly, just on customer growth, as mentioned earlier, I think it moderated. It was 2.2%. The trailing 12 months, I think, as of December, is 2.4%. With the understanding of the macro environment, are you seeing much impact from the Micron expansion yet and kind of the multiplier effect that that would likely have going forward? And is that captured in your IRP and in Moody’s GDP forecast?
Lisa Grow: So, we certainly haven’t seen it yet. We’re in the early stages of the work there, but we’re certainly hopeful that that will come in time as they get their operations up and running. We certainly look at things like that as we’re doing our forecast. And I can’t really speak to whether Moody’s has it or not.
Brian Buckham: I don’t know. The latest projections I saw, though, from Micron is that they believe as many as 200 companies will follow that project, as you know, it’s massive in its size. So, there’s going to be the growth of Micron and then maybe the ancillary growth. We absolutely look at the growth of Micron and what we think that will be in our projections, the ancillary growth is maybe looked at slightly. But, again, we mentioned before we’re pretty conservative in that regard.
Brian Russo: Okay. Great. Thank you very much.
Lisa Grow: Thank you.
Brian Buckham: Thanks, Brian.
Operator: Your next question comes from the line of Paul Zimbardo with Bank of America. Please go ahead.
Lisa Grow: Hi, Paul.
Brian Buckham: Hey, Paul.
Paul Zimbardo: Hi, good afternoon. I just want to make sure I heard it correctly. I think you said that there are some small timeline delays on some of the 2023 projects. So, could you just give some context on what’s happening there? And could you remind me, are those the projects where there’s that "soft cost cap" from the commission? Thanks.
Lisa Grow: Yes. And so, we had experienced some delays in our supply chain related. So, they’re coming on more over time than all showing up at once. And I’ll let Adam give some more detail.
Adam Richins: Yeah. Originally, if they were supposed to be delivered in the kind of April-May timeframe, we have seen some delays. That’s not uncommon right now in the industry. We’re looking more in the June-July timeframe for the bulk of the batteries coming into play, and then maybe a side portion of them being later in the summer. But the exciting thing we would like to note is we did start receiving the deliveries in April, and they’ve been pretty steady since then. So, the projects have experienced some delays, but we feel like it’s moving forward at a pretty steady pace at this point.
Brian Buckham: Yeah, Paul, as I mentioned, was that’s going to impact depreciation for us this year as the in-service date of some of those batteries, as they go in in-stages, depreciation will be delayed on them. And also the payment schedule for those, that’s also adjusted, which will impact AFUDC accruals for us.
Paul Zimbardo: Okay. I got it. And then a bigger picture question just as we finally get ready for that big rate case coming up, whatever the outcome there, is it fair to think that 2024 is a good base after which earnings growth should track better with the strong rate base growth? And just overall, how you think about that outlook? Thanks.
Lisa Grow: I mean, I think that’s certainly our goal. We’ll see how the case turns out. We’re very confident in the case we’re putting forward. Brian, do you have [anything to add?] [ph]
Brian Buckham: Yeah, I agree. Paul, the way we look at it is that is our first case in a very long time, at least the full general rate case. We’ve been in front of the commission, obviously, for the last decade a lot for different things, but this is the first full general in over a decade. It is certainly not our last. That will be a series of rate cases that we’ll have to file to bring in things like Hells Canyon, additional battery, additional resources, Boardman-to-Hemingway. So, we will be in with additional requests for a lot of this rate base infrastructure that we’re putting in to serve all of this growth. So looking at 2024 as the first case of a series to bring in all the rate base. I think you’ve seen our 11% CAGR on rate base out there, and that really is a springboard for us moving forward, again, driven by so much customer growth that we have to serve reliably. So, we will be in front of the commission with that going forward with a relatively frequent cadence.
Paul Zimbardo: Okay. And a quick follow-up, just as we think about that cadence, is there a good whether like basis points or how you think about regulatory lag prospectively?
Brian Buckham: We don’t have a specific regulatory lag number that we use. I mean, we do have a historic test here in Idaho that will impact that. We do try to put it note in measurables. But over time, with this much capital investments, the depreciation and the interest expense on that will cause quite a bit of lag until we recover it. So, part of it will be on us to execute well in the regulatory arena and make sure that we get in there timely with as much growth as we have in our rate base, but no specific lag number.
Paul Zimbardo: Okay. Understood. Thanks a lot, team.
Lisa Grow: Thank you.
Brian Buckham: Thanks, Paul.
Operator: [Operator Instructions] That concludes the question-and-answer session for today. Ms. Grow, I will turn the conference back to you.
Lisa Grow: Thank you very much. Thank you, everyone, for joining us this afternoon and for your continued interest in IDACORP. I look forward to providing you with a recap of 2022 as well as an overview of our long-term strategies at our annual meeting of shareholders that will be 2 weeks from today. So, hope you all have a great afternoon and thank you very much.
Brian Buckham: Thanks.
Operator: That concludes today’s conference. Thank you for your participation. You may now disconnect.